Operator: Good day, ladies and gentlemen, and welcome to the Peregrine Pharmaceuticals Third Quarter Fiscal Year 2012 Financial Results Conference Call. [Operator Instructions] As a reminder, this program is being recorded. I would now like to introduce your host for today's program, Mr. Jay Carlson, Manager of Investor Relations. Please go ahead, sir.
Jay Carlson: Thanks, Jonathan. Good afternoon, and thank you for joining us. On today's call, we have Steve King, President and Chief Executive Officer; Paul Lytle, Chief Financial Officer; Joe Shan, Vice President of Clinical and Regulatory Affairs; and Rob Garnick, Head of Regulatory Affairs. Steve will begin by providing an overview of our clinical progress over the last quarter and highlight what will be numerous near-term clinical data milestones. Joe and Rob will discuss our clinical and regulatory plans as we advance our 3 Phase II clinical programs for bavituximab and Cotara. Paul will then finish with a summary of our financial results for the third quarter 2012. After our prepared remarks, we welcome your questions. Before we begin, we would like to remind you that during this call, we will be making forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ. These forward-looking statements reflect our current views about future events and financial performance and are identified by the use of terms and phrases such as believe, expect, plan, anticipate, on target and similar expressions identifying forward-looking statements. These risks include, but are not limited to, the risk factors detailed from time to time in our filings with the Securities and Exchange Commission, including but not limited to, the annual report on Form 10-K for our fiscal year 2011 ended April 30, 2011, and quarterly report on Form 10-Q for the third quarter ended January 31, 2012, which will be filed later today. Investors should not rely on forward-looking statements because they are subject to a variety of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations, and we expressly do not undertake any duty to update forward-looking statements, whether as a result of new information, future events or otherwise. I'll now turn the call over to Steve.
Steven W. King: Thanks, Jay. In the third quarter, we have continued to make progress in all areas of our business, including clinical development for both our bavituximab and Cotara programs and in our contract manufacturing business, Avid Bioservices. These advancements had set the stage for what we expect will be an exciting rest of 2012, with a number of potential catalyst on the horizon, including data from 7 ongoing clinical trials, results of negotiations around a pivotal trial design for Cotara and record revenues in our biomanufacturing business, Avid Bioservices. Let me begin by just addressing the most recent news. This morning, we announced data from our randomized Phase II front-line non-small cell lung cancer trial, evaluating bavituximab in combination with carboplatin and paclitaxel. Joe will cover the results in more detail, but just let me say that in our opinion we view the results is encouraging but inconclusive. Based on the fact that by one measure, which actually much better matched historical experience of carboplatin and paclitaxel, we saw difference in progression-free survival, or PFS. Whereas by another measure, which is supposedly more robust but was not consistent with historical experience of carboplatin and paclitaxel, we saw very minimal differences in PFS. PFS is a surrogate endpoint for the ultimate endpoint, which is median overall survival, which does not have the same issues with bias and uncertainty associated with surrogate endpoints. This is also the most important endpoint, particularly in a front-line disease setting. So in no way that these result dampen our enthusiasm for the bavituximab program, it simply means that we now have to wait for median overall survival from this study to make a judgment on the overall trial results. In addition, during the quarter, we announced initial data from our randomized Phase II trial of bavituximab in patients infected with genotype 1 HCV. The results from this trial were encouraging, and we believe they warrant further study of bavituximab in HCV patients, as part of a longer dosing regimen with some of the new antivirals that are coming into the market. We are actively seeking a development partner with the resources to advance this program as we feel that bavituximab holds potential to be part of a better tolerated HCV combination therapy. Joe will discuss these results in more detail. In addition to the progress in the bavituximab clinical programs, we also continue to make progress in our discussions with the FDA concerning a possible pivotal trial design for Cotara. Rob will go into more detail on those discussions and give his thoughts on progressing the Cotara program. And we continue to see good revenues coming through our manufacturing subsidiary, Avid Bioservices. Paul will cover this as part of his financial results discussions. We believe this is an exciting time for both Peregrine and Avid Bioservices, as more potential clinical milestones for 2012 emerge for the company. As you know, the backbone of Peregrine is our first-in-class technology platforms, which have broad intellectual property estate and remain mostly unencumbered for partnering. We have seen, and are seeing, an increase in interest by potential partners in both bavituximab and Cotara programs. And while I cannot comment as to the details or status of these discussions, or timing to a partnership deal, what I can say is a number of these companies are in the midst of conducting active due diligence, and in some cases, waiting for additional clinical data. It is our goal to secure regional partners for our bavituximab oncology program, while simultaneously looking for an appropriate partner to advance the HCV and Cotara programs into later stage clinical development. Looking beyond the bavituximab and Cotara therapeutic programs, we anticipate pursuing opportunities in the areas of medical imaging, and we'll update you on our activities as future milestones are achieved. Before you hear from the others on the management team, I want to summarize our near-term milestones. By the time we have our next earnings call, we anticipate a number of important data points, including unblinding and data reports from our randomized Phase II second-line non-small cell lung cancer trial and 7 data presentations at AACR, including data from 3 of our clinical ISTs in breast, lung and liver cancer, and an update on our PS imaging agents as well. In addition, we have a number of opportunities for potential presentations at ASCO. Taken together, it is lining up to be an exciting next few months, and we look forward to updating you as we continue to make progress. I'll now turn the call over to Joe. Joe?
Joseph S. Shan: Thanks, Steve. Over the last quarter, we've made considerable progress in advancing our bavituximab and Cotara clinical programs. I want to start by providing an update of our bavituximab lung cancer program, which currently comprises 3 clinical trials in non-small cell lung cancer, a Phase II front-line study, a Phase II second-line study and a Phase 1b investigator-sponsored trial, all expected to yield multiple data points throughout 2012. This morning, we reported data from our front-line study. This was a randomized trial designed to compare the overall response rate, or ORR, of carboplatin and paclitaxel with or without bavituximab in patients with untreated Phase IIIb or IV NSCLC. The data reported was based on 83 protocol-eligible patients for the protocol population. And ORR is defined as a percentage of patients with objective tumor reduction, as well as progression-free survival, which is the time until objective tumor progression or death were determined based on both investigator and independent central assessments of radiographic scan. Now back in December, we reported very preliminary investigator assessed ORR, which at that time was showing a 50% difference in favor of bavituximab. However, after all patients on both arms completed the maximum chemotherapy cycles, and with additional data collection and cleanup, a significant difference was not seen in ORR by either investigator or central assessments. While the primary endpoint of the study was ORR, as this provides the earliest potential sign of antitumor activity, it is a surrogate endpoint and often does not correlate with clinical benefits, particularly in front-line lung cancer. So I'd like to spend a few moments to discuss the next endpoint, PFS. Based on investigator assessments, patients treated with bavituximab, plus carboplatin and paclitaxel, show a current median PFS estimate of 5.8 months versus 4.6 months in patients treated with carboplatin and paclitaxel alone, representing a 26% difference. These results are consistent with a prior single arm Phase II study testing the same bavituximab combination in front-line NSCLC patients, which showed a 6.1-month median PFS and with several prior published studies with carboplatin and paclitaxel showing approximately a 4.5-month median PFS. Based on independent central imaging reads, the current median PFS estimate is 6.7 months for the bavituximab-continue arm and 6.4 months for the chemotherapy-only arm. The differences between investigator and central reviews are expected as investigators have, in addition to the scan, clinical knowledge of the patients. And independent reviewers rely solely on the identified scan. And although independent image review is intended to eliminate investigator bias, at this point it is not clear, which method of determining PFS, if any, correlate with overall survival. We now way to reach and report our median overall survival from this trial in the second half of 2012, which is ultimately the most definitive and meaningful endpoint. Turning to our second-line non-small cell lung cancer trial. You may recall that in October, we completed enrollment of 121 patients in our randomized double-blinded placebo-controlled Phase II trial. This set the stage for the unblinding of trial results and sharing with you the primary endpoint of ORR and potentially PFS have reached in the first half of this year. Our strategy is to pursue this second-line indication in order to gain the fastest potential regulatory approval path. Finally, data from the lung cancer IST will be presented at the upcoming AACR Annual Meeting. Meanwhile, we continue to explore bavituximab's potential in treating metastatic pancreatic cancer. With over 25 clinical sites with the U.S. and abroad, we are on track to complete patient enrollment and report interim data in 2012 from our 70-patient randomized Phase II trial of bavituximab with gemcitabine. Before turning the call over to Rob for an update on Cotara, I'd like to briefly mention our hepatitis C program. In December, we provided an update from our randomized 12-week Phase II trial evaluating 2 doses of bavituximab, plus ribavirin, versus pegylated interferon plus ribavirin in treatment naïve patients affected with genotype 1 HCV. Analysis of data indicated that both dose levels of bavituximab when combined with ribavirin, appeared safe and well tolerated with patients reporting fewer side effects than in the interferon-containing arm. We were encouraged to see the combination of bavituximab at both doses tested with ribavirin demonstrated a consistent, gradual viral load reduction in some patients, which was not seen in our prior single agent bavituximab studies, suggesting additive activity when combined with ribavirin. Of interest, more patients achieved the primary endpoint of 12-week early viral response, or EVR, in the lower 0.3-milligram per kilogram bavituximab dose, a robust responses were also seen in patients treated at the higher 3-milligram per kilogram dose level. While the EVR rate was greatest in the interferon-containing group by the end of this 12-week pilot study, based on the nature of the late EVR development and patients responding to bavituximab, plus ribavirin, a longer-term evaluation is needed to adequately compare the effectiveness of bavituximab versus interferon. As interferon remains a cornerstone of HCV therapy, we believe bavituximab warrants further investigation in this indication. And as Steve mentioned, we are actively seeking a development partner to continue moving program forward. Now I'd like to turn the call over to Rob.
Robert Garnick: Thanks, Joe. I'd like to discuss a progress that has been made in on the Cotara program and then to hit my perspective on today's data announcement of bavituximab. Regarding the Cotara program, over the last several month, as you know, we have continued our dialogue with FDA with specific emphasis on the next development steps that we need to be taking for this novel approach to treating recurrent glioblastoma multiforme, or GBM. Recently, FDA has provided, the specific feedback to us regarding our [indiscernible] and we, in turn, have submitted our responses back to the agency. This is part of a process that continues and we're looking to develop a study for Phase III that has criteria of enrolling a reasonable number of patients, and a study that can be completed in a 2-year time frame or less in this orphan indication. We believe that having an FDA-reviewed protocol for Phase III is critical to advancing our partnering discussions and/or initiating a pivotal trial on our own. From our perspective, these discussions with FDA, to date, had been extremely positive with the FDA being quite responsive and very helpful. Overall, the process is progressing very well, in my opinion, and I believe a properly designed pivotal trial can be agreed upon and that we will be able to continue moving Cotara closer towards regulatory approval. At this time, I'd like to provide my personal perspective on the data that was announced. As I'd like to explain, these data in no way impact our enthusiasm for developing bavituximab as a novel anticancer agent or clinical path that we have established. We have been clear that we do not know fully what to make of these results, given the unusually high control arm results. As Joe mentioned, and I will repeat, bavituximab arm data from this trial was in line with our expectations and consistent with the previous data that we've seen in earlier development programs. But what also adds to the confusion surrounding this data is that discrepancy between the 2 types of analysis, which when taken all together really says that we need to wait for the overall survival data with ultimate endpoint that matters in front-line non-small cell lung cancer. With that said, I'd like to turn it over to Paul.
Paul J. Lytle: Thanks, Rob. Since our financial results for the third quarter fiscal year 2012 can be found in our press release, I will focus my discussions on a few financial highlights that directly relate to our various sources of capital and our strategy to fund our investments in research and development. Our consistent goal, which we have stated over the last several quarters is to closely match our financial investments in research and development with our various sources of capital. And by ending the January quarter with an increased cash position of close to $20 million in cash and cash equivalents compared to $18 million reported at the end of October 2011, we have reached this goal. An important part of our cash inflows comes from our hybrid business model that includes Avid Bioservices, a revenue-generating business that truly sets us apart from the majority of other biotechnology companies. Avid generated $3.2 million in contract manufacturing revenue during the current quarter from third-party clients and $12.8 million for the 9 months ended January 2012. Looking ahead at Avid's pipeline of committed projects, we are revising our guidance for contract manufacturing revenue to between $14 million and $16 million for fiscal year 2012, which could represent a record year for Avid. And this is only possible with the long-standing and successful relationships Avid has with its client, including Halozyme Therapeutics, where Avid continues to be an important part of their overall supply strategy. We are looking forward to continuing this mutually beneficial partnership, one that directly speaks to the success of our partners and the dedication of our employees. In closing, let me say that we are planning for success as we get closer to unblinding data from our second-line non-small cell lung cancer study and reporting several other clinical data points from our other ongoing trials. And it's important to note that while we always seek other non-dilutive opportunities to fund our future development efforts, it is always prudent to prepare for other ways to fund our operations. In line with this strategy, we will be filing a new shelf-registration statement later today as a potential measure to assist us at advancing our pipeline of novel drug conjugates or candidates. We look forward to keeping you updated on our progress, and we will now open the call up to your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Charles Duncan from JPM Securities.
Charles C. Duncan - JMP Securities LLC, Research Division: I'm with JMP Securities. But I did want to ask a couple of questions regarding today's news on bavituximab. I know that you don't know, but I'm just wondering if you could speculate on the reason for the high control arms in terms of PFS. So I'm wondering if the new diagnostics standard that was implemented in 2010 could help to explain this result.
Joseph S. Shan: Yes, Charles, this is Joe. Are you referring to the new RECIST guidelines or?
Charles C. Duncan - JMP Securities LLC, Research Division: Yes.
Joseph S. Shan: Yes, I think it's difficult for us to say without trying to compare it with the prior RECIST versions, but these are relatively small studies. I think that's probably one of the bigger contributing factors. And when you look at these scans, like I mentioned in my remarks, that the independent readers, while they are more unbiased, they only have radiographs, so they can only read what they have, and so sometimes if there's not clear progression or an event then patients are censored in the actuarial analysis like Capital Myer [ph]. So I think that certainly can contribute to numbers that are a little bit outside of what you expect.
Charles C. Duncan - JMP Securities LLC, Research Division: And with regard to the PFS inconsistency, could you remind us what type of imaging was employed, was it CT or MRI?
Joseph S. Shan: Yes, these are typically -- these are typically spiral CTs. MRI is supplemented, if for certain anatomy.
Charles C. Duncan - JMP Securities LLC, Research Division: Okay. And then with regard to disease progression or at least with regard to the investigator assessment, how comfortable are you that you've defined that pretty rigorously? And then, I guess, what have you done to try to eliminate or reduce investigator bias on that assessment?
Joseph S. Shan: Sure. Well, I think certainly, we provide training on RECIST. They all have to be selected before they can participate on the trial. And we've also, in the process of reviewing case report forms, have tried to ensure accuracy of transcription. Now ultimately, even though radiographs are objective, which lesions that are selected by a radiologist, there's some clinical judgment and subjectivity involved. So even at the central read facilities, those radiologist are making determinations of which lesions are -- they're assessing to over time.
Charles C. Duncan - JMP Securities LLC, Research Division: And then when you look at your overall response rate for this trial when compare to your single-arm trial, it's a little bit lower. I'm wondering if you could share with us, if you had differences in patient inclusion criteria, and if you know what the percentage of Stage IV versus Stage IIIb patients were in this trial?
Joseph S. Shan: Right. So the number in each arm was similar to the sample size in our prior single-arm study. So I think we did have fewer Stage IIIbs in this study. I think we only have a handful, so that might partially explain the slightly lower response rates. Plus I think it's very difficult in a small study like this to really say, if it's due to staging when we start splitting the patients by these different baseline characteristics, the numbers get really, really small.
Charles C. Duncan - JMP Securities LLC, Research Division: Okay, could just be the luck of the draw. My final question is, if you look at the design and conduct of the second-line lung cancer trial and compare it to the first-line trial, I guess it seems like in some ways in second-line you may be able to get a better signal-to-noise. But I guess what are your thoughts on that trial with regard to potential confounding variables, particularly given what you know now in the first-line trial?
Joseph S. Shan: Well, certainly this was our lead indication all along and, in fact, was the initial study that we discussed with FDA. So this is the one we feel has the potential to be the first regulatory indication. Yes, you're right. I think that there could be a better signal-to-noise, if you will, in your words. The response rates are quite low with the existing chemotherapies. And we believe even a few patients here and there could make a significant percentage difference. And so hopefully, we'll see that.
Steven W. King: Yes, I think that -- just to add to that, Charles, I think one of the other added features of this study, of course, is that it's double-blinded at placebo-controlled. So also, if we're -- as the investigators are looking at scans, as well as the central readers, of course, really pretty much all the bias should be taken out of the system by that blinding process. So I think that's another thing that drills significant difference from the front-line study. And so it should hopefully be a cleaner result. I mean, I think -- we think from the study, it's a little bit more robust of a trial design. So I guess, it's just another aspect to that study.
Charles C. Duncan - JMP Securities LLC, Research Division: Yes, I agree with you, Steven. And, Joe, this is the one that -- your second-line is one that we're kind of hanging our hat on, if you will.
Operator: Our next question comes from the line of Joe Pantginis from Roth Capital Partners.
Joseph Pantginis - Roth Capital Partners, LLC, Research Division: Guys, I have a more of a face value sort of cut-to-the-chase question, just based on the market reaction today, which sort of views this study as a failure because it didn't meet the primary endpoint of overall response rates. So based on the fact, or the fact that the primary endpoint wasn't met today, how would you describe, and I know you touched on this in a lot of your prepared comments, how or why should we in the market not view the first-line indication as a dead indication for bavi at this point, and then I have a follow-on for Cotara?
Steven W. King: Sure. Thanks, Joe. So, I mean, I think the purpose of running the study was to really identify whether -- in part, whether front-line non-small cell lung cancer is a good target indication for bavituximab. So the goal of the study really, well, the primary endpoint was overall tumor response. We recognize that in any pivotal study in front-line non-small cell lung cancer, median overall survival is almost assuredly going to be your endpoint in that study. And so I think all along, we knew that the secondary endpoint progression-free survival, which again is yet another surrogate, was next in line in importance, but really there's a median overall survival because as we're thinking about potentially moving this into pivotal study, then it would be based on those overall survival results, not the earlier endpoints. In addition, I mean, this is just first, kind of the first inning of a ballgame here, and we've gotten some initial results from the study, when you need the most important result that are still up and coming. In addition, we have another investigator-sponsored trial in combination with the pemetrexed and carboplatin in our front-line settings. So this is just part of the overall strategy in front line. And then, again, as Joe just mentioned, really the target primary indication is still in second-line non-small cell lung cancer, and that is the reason for the more robust trial design in that particular trial. So I think and what I'd like to do is maybe ask Rob to kind of share some of his experiences because he's certainly been through many successful development programs. He's seen the ups and downs that happened during any of those development programs and maybe give a little bit more of his personal experience.
Robert Garnick: Yes. Thank you, Steve. I think really to put this in the proper perspective, this is a front-line trial and front-line is relatively healthy people. It's very hard with a small number of patients to show any real effect in front-line. And certainly, our response rate and PFS, in my view, while they're early reads and you get some information, the fact is that the only endpoint that really counts is median overall survival and the FDA's pointed that out multiple times. We've seen a great many trials show pretty mediocre response rate results, but have yet gone on to show extremely good overall survival results. I think Herceptin is a great example of that. During the development of Herceptin, if you looked at the Phase II response rate data, you'd be extremely unimpressed compared to what the ultimate results were in survival and certainly in breast cancer. So I think -- I personally don't read a lot into overall response rate data nor PFS and really go for the standard that really counts that's unequivocal and relatively straightforward to measure, which is median overall survival and I think we have to wait for those results in order to make any judgment. And on top of that, I'd like to point out that our primary goal is in second-line non-small cell lung cancer, which is a disease with very low response rates in general. I think 10% or 11%, and what we're expecting to show there is a real increase ultimately in survival. And if we see that, that's what we'll take forward into of a Phase III pivotal trial. So I'm personally not at all dismayed or upset or in any way doubt the drug. I think we're 100% behind it, and I think all of you should understand how we're thinking about it. Steve, any other comments?
Steven W. King: No, I think that's good perspective, because you've seen us quite a number of times now. So you have that additional perspective on the situations.
Joseph Pantginis - Roth Capital Partners, LLC, Research Division: That's very helpful. And then my follow-up question for Cotara was just -- I was wondering, Rob, thanks for the update, can you give any sense of the extent or the tenure of your discussions as to how close we might be to a final agreement?
Robert Garnick: I think we're still working through our agency. We've sent in our responses and they're evaluating those. These tend to be kind of an iterative process. We are trying to balance providing sufficient data in a trial that's enroll-able and actually executable in a reasonable time frame. And we have to balance that with FDA's needs to assure that safety and efficacy of the product. It is an orphan indication, and a difficult one from that standpoint. But I think we're making good progress with them. The relationship is very positive and collegial, and it's a back-and-forth game until we're finding into a place where everyone is comfortable.
Operator: Our next question comes from the line of Edward Nash from Cowen and Company.
Edward H. Nash - Cowen and Company, LLC, Research Division: So you've actually addressed one of my questions, which was could you give me an example of potentially when we've had a drug where we've not seen -- or we've seen questionable overall response rates or progression-free survival, but we've ended up seeing great overall survival, And then I think you used Herceptin as an example, and maybe if there's another one you that could throw out there, that would be great. And then I just wanted to also know have you run this through your -- the SAB and what kind of advice had they been kind of saying? Is it just a matter of just wait, let's go through and just wait and we'll see what the overall survival looks like at the end of the day? And then the last, the third question, which is the last one is just we aren't looking at -- I realize that, obviously, overall survival could still be successful, but I kind of use the comparison with hep C that we have, an RVR and EVR that kind of give us some indication as to what the ultimate FDR is going to look like. So are ORR and PFS just not really good markers at the end of the day, it really isn't giving us anything? Or is it that they usually are helpful and it's just that we have to wait and sometimes they don't pan out, but overall survival still wins?
Steven W. King: Yes, I think we're all in agreement that after really spending hours and hours poring through the data, the site reads versus the central reads and everything else, we all just really came to the conclusion that, well, we just really can't make a firm judgment based on these surrogate endpoints. And basically, it's just now the -- let see what those survival looks like and will that be more indicative of the signs of difference and progression-free survivals we saw on the site reads or will it be more indicative of the lack of differences we saw on the central reads? And ultimately, that will be born out in the most important endpoint. And so I think everybody's in agreement, our advisors, everyone we worked with. And at the end of the day, we all came to the same conclusion. As far as the other examples of drugs that haven't shown good -- typically in non-small cell lung cancer, there hasn't been a great correlation between particularly tumor response rates and median overall survival. As Rob said, you can learn some things from tumor response rates and from progression-free survival but a lot of times they just don't end up working out in the end. And I think for some of the same reasons we saw in this trial is there is some subjective nature to those sorts of measurement and as much as you try to control them, there's still people involved in this, and it's a complex business when you get down to the way it's evaluated. So I think if you look at some of the other second-line non-small cell lung cancer study, you typically we see small studies. You see these the same sorts of variabilities and the lack of correlation between those early endpoints and eventually median overall survival. And Joe, I don't know if you want to add a little bit more to that.
Joseph S. Shan: Sure. I think your analogy of the RVR, EVR, SVR, that's are -- those are very consistent drugs, they all directly measuring viral load. So I think those have demonstrated to correlate with the SVR. And, in fact, is itself a surrogate but accepted endpoint for ACB cure. Now in cancer, of course, response rates are shrinking tumors, which originally, I think, was to measure cytotoxic chemotherapy activity. But following that with a time to event and that progression-free survival how long it takes before patients progress again, those are very different ways to look at endpoints. So I think that that's one major factor why response and PFS and neither of those necessarily correlate with overall survival. And certainly, we have a new targeted agents that don't work by this dramatic cytotoxic effect and so we do not see dramatic response differences.
Steven W. King: Yes, and again, I think each type of cancer is going to be a little bit different story. Obviously, in non-small cell lung cancer that may not be in good correlations whereas other particular indications there could be a better correlation. So, but I think when we look at the data, it's just been pretty inconsistent and, again, as Rob said earlier, you can learn something. It's really the overall survival that's going to be your guidepost.
Robert Garnick: And just to add another point, in terms of the response rate, I mean, there are a lots that Iressa, for example, was approved, which had actually pretty impressive overall response rates, and it was given the accelerated approval based on that, and then when the actual pivotal trials were done in Iressa, it showed no overall survival benefit and FDA recommended pulling it off the market. So I've seen this go both ways. And again, I think you would like to see, which you'd love to see is a direct linear coloration between response rate PFS and median overall survival, but most of the time doesn't work out that way. And that's why FDA really believes that overall survival is the most appropriate endpoint for judging the value and benefit of these products we would provide to the patients. So there are a lot of horror stories, I could go to a 100 of horror stories of drugs that had early development issues. A good example was Avastin failed in some monotherapy and you would -- I think everyone questioned why would this drug ever work if it didn't work as a monotherapy agent, given the mechanism of action that Avastin was designed and expected to have. And yet when it was combined with chemotherapy, it showed really stunning results in colorectal cancer. So again, I think -- drug development is all about designing your studies properly and making, giving the product the best opportunities and seeing where the data actually takes you. So it's kind of the perspective that I have and, hopefully, it provides some value to you.
Operator: Our next question comes from the line of George Zavoico from MLV & Co.
George B. Zavoico - McNicoll, Lewis & Vlak LLC, Research Division: Rob, in particular, I think your viewpoints and experiences have been very helpful in helping us understand the results. I just have a couple of follow-on questions regarding that, for the front-line trial. First of all, would you comment a little bit on the size of the trial. It seems to me that because it was such a small trial, a couple of outliers could have skewed the results in either direction, in either one of the -- in either the investigator review or the central review, number 1? And number 2, was there any imbalance in the patient demographics that you might be able to speak to in terms of one group having more 3bs versus 4s, for example?
Joseph S. Shan: Sure. So we've tried to look at the major subgroups, again, to address the question, the size of the trial. It is relatively small but I think it's right in the range for Phase IIs if you just kind of canvas what other people run. In fact, it might even be a few more patients in each arm. But again, Phase IIs are designed signal-seeking and at the time we felt, though, sufficiently powered to see some dramatic differences in ORR. When we do try to look at imbalances, I don't -- we're not seeing any significant balances in age or tumor burden or even the stage of disease. There's just too few patients in each group to really draw any conclusions.
George B. Zavoico - McNicoll, Lewis & Vlak LLC, Research Division: Okay. And just I think I know the answer to this but just to be sure, this is the PFS data so and it is median, and these months, the numbers for the months, that's pretty firm now. In other words, half the patients have gotten to their progression, right, so those numbers are not going to change with further analysis, is that correct?
Joseph S. Shan: They are actually still subject to some slight changes. There are patients still on the trial on both arms. And because of some censoring events that might have occurred early, I think these patients could make some small differences in the final numbers. I think it's going to be in the same ballpark.
Steven W. King: [indiscernible] as George -- to one of the medical conferences coming up to be able to really give the full in-depth view of the data from the study and kind of the outcome and be able to present at one of those events.
George B. Zavoico - McNicoll, Lewis & Vlak LLC, Research Division: Sure, and I agree with everyone that ultimately, it's the overall survival that will really inform the program going forward. I have a question regarding Avid, and congratulations on the growth of Avid revenue. This has been somewhat cyclical in nature, your revenue stream. But now it appears that you're getting more customers, more clients and it seems to be a little bit more, or hopefully maybe it's getting to the point where it's not going to be quite so cyclical as you grow the business. Can you comment a little bit as to where you see going forward the cyclicality or the potential cyclicality of that business?
Steven W. King: I think it's -- I mean, you're right. I think the business become much more consistent, it's primarily because of the fact that our customers have been very successful, and I think Paul mentioned Halozyme has done quite well and they're obviously expanding the potential utility of their drugs that are collaborations with Baxter and Roche. And we have European client that is now finishing up their Phase III and hopefully will moving their product to the market. And really it's that commercial production, which allows you to sort of smooth out the wrinkles, if you will. From the quarter-to-quarter variability, there will always be some of that's just based on the timing of release of lots and the fact that each lot represents a significant bit of revenue, anywhere from $0.5 million to sometimes $2 million. But I think it really is the success of the client. I think we'll see that, hopefully, continue into the future here as they're successful and we bring in new players into the facility as well. So yes, we're actually quite excited about Avid and the future of the business and the ability to grow that. And it's an alive and well business. It's doing quite well, and they will make great progress there.
George B. Zavoico - McNicoll, Lewis & Vlak LLC, Research Division: I'm glad to hear that and it certainly fits into Paul's hybrid model for keeping the capital at a comfortable level.
Operator: Our next question comes from the line of Steve Dunn from LifeTech Capital.
Stephen M. Dunn - LifeTech Capital, Research Division: All my questions have been answered except for one. If we look back, and the control arm notwithstanding, if we look back at the results we've seen across all the trials, the results almost always match equivalent trials using Avastin plus chemotherapy that the various agents. If we don't see anything tremendously outstanding versus control arms, is there a possibility that you would ultimately file this as a non-inferior against Avastin? And if so, could you describe what benefits bavituximab would have over Avastin vis-à-vis safety or whatever? You have different mechanisms of action, but there are similarities as well. So is there a way of dealing with the pseudo-biosimilar strategy, if the data comes out ambiguous?
Steven W. King: Yes, I think I can start the ball rolling and get some inputs from both Joe and from Rob. I think kind of my viewpoint on this is that absolutely, the results have looked similar in many cases to prior Avastin studies. And in fact, we've, in many cases, really been following the Avastin pathway in some of these trial designs and patient numbers we've been running. I think the goal is really to see where this drug does shine. It has a different mechanism of action from Avastin, we think we'll have different effects. I think some of the interesting things that come from running the number of studies we are is you start to see maybe some of those areas where you potentially have some benefit whether it be from a safety standpoint where we don't see some of the, if you will, the side effects that you see with anti-angiogenesis agents across the board, like hypertension, some of the bleeding problems. In addition, I'll let Joe address, but in one of our ongoing ISTs have also seeing some new areas where different drug combinations may be possible with bavituximab that you just can't run with the anti-angiogenesis agents. So I think there's still -- our goal is to show this is a unique drug with its own indications and its own side effect profile. Maybe it will be used safely in some indications where Avastin couldn't be potentially. But in the end, I think they are just different types of drugs with different mechanisms and that will eventually come through in the clinical development. Although in some ways it's been comforting that the results have been so similar to Avastin, because, obviously, that's become quite a successful drug and although it itself has had a setback here or there, it's still a phenomenally successful commercial agent. So, Joe, I'll turn it over to you if you want to expand.
Joseph S. Shan: Sure. I'm asking Steve how to test on -- we're still running these studies. But so far, we're not seeing some of the sort of the angiogenic class effect toxicities, such as the bleeding, wound healing impairment, kidney issues and hypertension and such. So that certainly could be one advantage. Now as far as the non-inferiority, we really haven't discussed that sort of pathway. As Steve mentioned, we're trying to figure out where bavituximab works the best and it may not been in any indications where Avastin was actually approved. So I think we really need to kind of push forward and try to find the right way to use bavituximab.
Steven W. King: And now, before I turn over to Rob, one thing that came up, for instance, is running an IST in combination with sorafenib and in the partnering discussion they were particularly intrigued by the fact that we were able to significantly up to this point to be able safely give bavituximab with sorafenib because that's a significant issue with the anti-angiogenesis drugs because of some overlapping toxicity. So again by running all these studies, you start to kind of tease apart where the differences are and where the similarities are, and I think that gives us a great opportunity for development. Rob, I don't know if you want to add anything to that?
Robert Garnick: Just a point that -- I think it is somewhat similar to Avastin and it's certainly the kind of mechanism, broad spectrum mechanism of action with respect to in case of Avastin anti-VEGF or seeking to combine with VEGF as a neuro vascular -- vascularization preventative agent versus being able to find phosphatidylserine in any number of cancer cells. So both of them have a lot of just kind of broad-spectrum similarities. And I agree with Steve and both -- and with Joe that what we really want to do is find where bavituximab has the greatest benefit. And that may not be in a place where Avastin is currently approved. And we'd certainly give that the drug has potentially a good safety profile. And it certainly seems to be very active. So it's really a question of finding the right indication through the studies that we're doing. And then to move aggressively and definitively towards an approval in that indication. So I think that's really the kind of drug-development program that we're envisioning.
Operator: Our next question comes from the line of David Musket from ProMed.
David Brian Musket - ProMed Management, Inc.: A couple of questions here. So just to clarify the data you reported today is on all 86 on the IDT protocol, right?
Joseph S. Shan: No, actually we reported on the protocol analysis, this is on the number of 83 patients.
David Brian Musket - ProMed Management, Inc.: Okay. So maybe you can help us understand sort of -- with all the disclaimers you've already provided about overall response rate, I'm not going back to ask you to do that again. But can you help us understand a little bit about the dropout here, the 26% versus the 39% on the ORR that we had in December versus the 23% and 26% that we heard about today?
Joseph S. Shan: Right. So those -- yes, those are -- again, those are based on local reads and when we reported in December, we had recently completed an enrollment, meaning that the last patients just began the study. And so they were still very early in their treatment cycles. So as patients continue getting chemotherapy cycles, they have that opportunity to achieve a PR or a response. And so that over time explains some of the differences. Also just over time as the doctors evaluate some of these patients, there are changes in the scans sometimes that render an initial lesion that they're tracking, not to be a reliable read lesion. So they would go back and actually take them out of the assessment and maybe use another lesion, if available. So that also can affect the responses over time. And so overall, there was a net of change of a couple of patients in each arm and that's how they came together and we already sort of touch on the nature of the study being a relatively small size study, each patient is a couple of percent.
David Brian Musket - ProMed Management, Inc.: And the 3 patients that dropped out?
Steven W. King: Right. So the 3 patients that dropped out actually were all on the chemotherapy arm. As it turns out they were not properly staged that entry and they were not Stage IIIb or 4.
David Brian Musket - ProMed Management, Inc.: Okay. It's very helpful. And on the -- so now just trying to, I guess, prepare for running down the same path again, we're going to get, I guess, we're expecting to get ORR data on the second-line trial sometime mid-year?
Steven W. King: Yes, so the next upcoming kind of milestones, obviously, we have some data presentations at the ACR, with the unblinding of the second-line study, probably around the same time period we'll also have progression-free survival if you look historically it's been in the range of about 3 months or so with chemotherapy alone, usually a little bit less. Since we completed enrollment in October, there's the possibility that we'll sort of around the same time period have the ORR data, as well as the progression-free survival there, because these patients are really just in much worse shape than they are in the front-line setting where tumor response rates are generally less than 10%. And, again, median progression-free survival is around 3 months and even median overall survival is not a whole lot longer than that.
David Brian Musket - ProMed Management, Inc.: So this ORR data that we're going to have just to prepare us in advance, is that going to be independent reads or just from the physicians again, the investigators again?
Steven W. King: Yes. So that will be from both. Now, again, keep in mind, that in this study, the trial was double-blinded and placebo-controlled. So unlike the front-line study, where the physicians know what the patients are getting at the time of doing the scans and the evaluations and determining patient treatment, in this study they want know which of the arms of the study the patients are on.
David Brian Musket - ProMed Management, Inc.: But where -- are you saying, you expect will have both the physician, the investigator data and the independent reads?
Joseph S. Shan: Correct. Yes. Before we unblind treatment, we want to get all of that.
David Brian Musket - ProMed Management, Inc.: Great, which is obviously, different than what we had in December?
Steven W. King: Right.
David Brian Musket - ProMed Management, Inc.: Okay, that's great. So that should help eliminate this potential confusion at the time?
Steven W. King: Yes, and the whole blind study was really designed to be part of our registration package. We worked with the FDA on this, and to be part of eventually 2 confirmatory studies that potentially could lead to licensure. So just a little more robust trial design. Of course, those kinds of trial are more expensive as well. But we do think that's a very robust study and that's one we've been ourselves the most anxious to see probably of all the studies we're running.
David Brian Musket - ProMed Management, Inc.: Exactly that's what I'm trying to say is, if we can avoid the confusion, it would be great so we can actually try to get a little bit more interested. So we'll probably get both the ORR and PFS, you think, around the same time and sometime before mid-year?
Steven W. King: Yes, I think that, that's our anticipation.
David Brian Musket - ProMed Management, Inc.: Fantastic. And I think you said you filed a shelf, is that what you did? Did I hear that right at the end of your call today?
Steven W. King: Yes, we did file a registration statement today on Form S-3.
David Brian Musket - ProMed Management, Inc.: How big?
Steven W. King: That's for $150 million. And our goal is really to plan for success here and having an effective shelf in place kind of allows us to plan for success. Obviously, our goal is to look at potential partnerships as we move forward to help fund these bigger Phase III studies that we're anticipating based on promising data. But we want to be prepared internally to have an additional vehicle in place, assuming if you can't determine when and the time frame of a potential partnership. So we just want to make sure we're taking prudent measures internally to prepare ourselves for success and in a shelf will last 3 years, once they declare effective.
David Brian Musket - ProMed Management, Inc.: Well, just -- maybe you want to -- I don't want to push it, but if you want to go even further here. I mean, certainly you can imagine people will be saying this is adding insult to injury to the extent that you were even considering selling stock at these prices? So do you either want to go so far as to say that that's not something you would do in this time frame until we get a little farther downstream with some of your clinical trials?
Steven W. King: Obviously, we're not pleased with selling stock at any price range where we're sitting today. I mean, but the ultimate goal is to make sure and ensure that we can advance our program into the clinical milestones that we think can add a lot of value to our company here and to add value to shareholders. We did end the quarter with close to $20 million in cash and cash equivalents. So I don't think there's any immediate pressure to sell stock in the open markets. But again, over the last several years, we've been able to closely match the amount of capital that we've raised with the resources that we've spent on our pipeline, and the worst thing we want to do is not get down to a cash position that makes us vulnerable.
Operator: Due to time constraints, this does conclude the question-and-answer session of today's program. I'd like to turn the program back to Steve King for concluding remarks.
Steven W. King: Okay. I'd like to thank you all again for participating in today's conference call. We look forward to keeping you updated on our clinical progress and upcoming data presentations over the coming months until we have our next quarterly conference call. Thank you very much.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.